Ben Allanson: Good morning from Stagwell's offices in Florida. Welcome to Stagwell Inc.'s Fourth Quarter and Full Year 2024 Earnings Webcast. My name is Ben Allanson and I lead the Investor Relations function here at Stagwell. With me today are Mark Penn, Stagwell's Chairman and Chief Executive Officer; and Frank Lanuto, the Chief Financial Officer. Mark will provide a business update and Frank will share our financial review. After the prepared remarks, we will open the floor for Q&A. You are welcome to submit questions through the chat function. Before we begin, I'd like to remind you that the following remarks include forward-looking statements and non-GAAP financial data. Forward-looking statements about the company, including those related to earnings guidance, are subject to uncertainties and risk factors addressed in our earnings release, slide presentation and the company's SEC filings. Please refer to our website, stagwellglobal.com/investors for an investor presentation and additional resources. This morning's press release and slide deck provide definitions, explanations and reconciliations of non-GAAP financial data. And with that, I'd like to turn the call over to our Chairman and CEO, Mark Penn.
Mark Penn: Thank you, Ben, and thank you for everyone joining us for our earnings call. 2024 was a breakthrough year for Stagwell. We reestablished ourselves as the fastest-growing business in the industry, accelerated rapidly in Digital Transformation and worked diligently in an unprecedented US election cycle and made strategic investments to expand our capabilities and geographical reach. The result, Stagwell's 2024 work sets the stage for another period of best-in-class growth in 2025 and beyond. Q4 marked a continuation of the improving trends we saw throughout the year. During the quarter, we grew revenue by 20%, net revenue by 14%. These results were driven by continued strong momentum in Digital Transformation, which grew revenue by 22%, net revenue by 15% year-over-year and by Performance Media and Data, which grew revenue by 12% and net revenue by 16% year-over-year. Adjusted EBITDA for the fourth quarter was $123 million, as we continue to invest in growing our cloud and AI-based software solutions. We also made strong progress in managing our cost structure, bringing our comp to revenue ratio down to 57.5% a record low for Stagwell. For the full year, Stagwell posted revenue of $2.84 billion, growth of 12% over the prior year. Net revenue of $2.3 billion, growth of 7% and adjusted EBITDA of $411 million, representing an 18% margin and an improvement of 120 bps versus 2023. Stagwell's return to industry-leading growth was due to five breakthroughs. First, we saw a rebound followed by an acceleration in our Digital Transformation business. We saw growth of 12% among our tech customers within Digital Transformation in the fourth quarter, led by Code and Theory's unique blend of engineering expertise and creative ability. Ahead of Election Day, Code and Theory launched ContextLens in collaboration with Real Clear Politics, a cutting-edge, anticipatory generative AI tool that offers relevant visual polling data for deeper insight into political trends. And Left Field Labs created best Phones Forever AI Road Trip, a generative, AI-powered campaign for Google Pixel, which used Gemini and Imagen to respond to fan suggestions. The interactive adventure was Google Pixel's highest performing Instagram post. This is just a taste of what we can do with AI for brands. As I discussed with Elon Musk at CES in early January 2025, this is the year where companies begin to recognize what AI can do and build applications around it. And our Digital Transformation agencies are ready to do just that. Second, results were strengthened by the culmination of the US election cycle with an unprecedented political ad spend. Our Advocacy businesses grew 80% in the fourth quarter. Targeted Victory raised $400 million in low dollar contributions and supported over 100 candidates and political groups. SKDK created, printed and sent over 86.7 million pieces of mail, wrote over 3,000 scripts, and produced nearly 1,000 ads and 100 film shoots. Wonder Cave, our best-in-class AI-powered text messaging platform, supported over 500 political and advocacy organizations, sending more than 4 billion text messages to support organizations' fundraising, voter contact and get out to vote efforts. While Advocacy will experience headwinds in 2025 due to the lack of a federal election cycle, we still expect it to be a solid year in Advocacy. We anticipate an uptick in public affairs and issue advocacy campaigns this year and remain very optimistic, looking ahead to the midterms' seasons in 2026 and 2028 presidential cycle, which should break all records with primaries on both sides. Third, our new business momentum continued as we posted $102 million in net new business, the third consecutive quarter with net new business figures in excess of $100 million. This brings our trailing 12-month figure to $382 million, yet another record for the company. This year-end figure is $111 million larger than in 2023, $169 million larger than in 2022. The results in the fourth quarter were led by high profile wins with Starbucks, Stellantis and Target, and we've seen this momentum continue into the new year with recently announced wins with MassMutual and work breaking just today with Visa. These wins show that we are winning ever larger mandates with the world's leading companies. Our average top customer is now a $25 million relationship. The thesis of Stagwell is that as we scale, we will climb the ladder up to larger and larger assignments. And that is exactly what is happening now. Our number one client scales to over $80 million of work a year, and tech companies are four out of five of our top clients, underscoring that we are truly a tech company's tech company. Fourth, Stagwell made significant investments to enhance our tools to help marketers. In the fourth quarter, we invested $23 million in OpEx to grow our cloud and AI-based software solutions. This brings our full year investment in the Stagwell Marketing Cloud to approximately $70 million. These investments are beginning to pay off as the Stagwell Marketing Cloud delivered 24% revenue growth in the fourth quarter, the third consecutive quarter of double-digit growth. And so our long-term margin is considerably understated by these OpEx investments. We also made strong progress in our Stagwell ID graph to centralize our data and information to better target consumers and we are on the cusp of launching The Machine, a fully integrated AI-based content development platform built in conjunction with Adobe. Both are scheduled for summer launch. Finally, Stagwell was also aggressive in M&A throughout 2024, announcing 11 transactions. Our biggest move was our push in the Middle East, a region in which we see a number of opportunities, led by the acquisition of Consulum, a highly regarded public affairs agency, and of LEADERS, an Israeli social agency. We saw more than 150% growth in net revenue in the region in 2024, as we've grown our headcount to more than 500 people there. We continue to push in the region and closed the year strongly by announcing our intent to acquire Create.Group, a deal that should close before the end of the first quarter. We also augmented our presence in Europe with the acquisitions of Sidekick, a UK digital and experiential agency, and WNP, a best-in-class French creative agency. In Latin America, we added a foothold with PROS, a Brazilian PR and social agency. And early in 2025, we announced our agreement to acquire ADK Global, which will give us offices in ten Asian markets and increases our headcount in the region to over 2,000. From a capability standpoint, we added to our multicultural and experiential expertise with the addition of Team Epiphany while strengthening SMC's suite of SaaS products through the acquisitions of UNICEPTA, an AI-enabled social listening and media monitoring company, and BERA.ai, an AI-based brand tracking product. We believe that Stagwell's M&A machine is underappreciated by the investment community. Over the last nine years, Stagwell has grown from an idea to more than $2.8 billion revenue company, and it is there today because of the investment platform we have built, combined with the incredible organic growth opportunities afforded by the expanding network that these acquisitions are placed into. The result of these five breakthroughs was a second half that comfortably outstripped the industry. Our second half total net revenue growth of 11% was more than 400 basis points stronger than our nearest competitor, while our organic net revenue growth of 9% was almost 300 basis strongest. Stagwell is uniquely positioned, heading into 2025, to take advantage of a rapidly changing industry landscape. No one else has our Goldilocks blend of industry leading capabilities, geographical scale and meaningful size. We're excited for what the new year will bring and we're confident in issuing 2025 guidance of total net revenue growth of approximately 8%; adjusted EBITDA of $410 million to $460 million; free cash flow conversion of over 45%; adjusted earnings per share of $0.75 to $0.88. I think it's important to look not just at organic growth, but our total growth as we are aggressively adding new geographies, and we are still a relative teenager on the way up the ladder of scale. We'll guide to total growth from now on, but to avoid any confusion as we make this transition, we expect next year Advocacy to fall off by about 30%, but non-Advocacy to grow organically in the 5.5% to 7.5% range led by double-digit growth of our Digital Transformation units. Putting all of this together, when you look at the decline of the political cycle and our continued organic growth and our new acquisitions, we expect to achieve 8% total growth in 2025 and understanding the components of total growth is the key to understanding our path to unlimited future growth and scale. Before Frank Lanuto, our Chief Financial Officer, walks through some of our financial results in more detail, I wanted to share with you a short video with you that shows just how transformational 2024 was for Stagwell. The video combines scenes from some of our best work, enhanced with AI and driven by Adobe's innovative new AI-based Firefly video tool that we are beta testing. The video showcases Stagwell's outstanding client work, new innovations, and incredible wins from across the network. Let's roll. [Video Presentation]
Frank Lanuto: Thank you Mark. Good morning, everyone, and thank you for joining us to discuss our fourth quarter and full year results. As a reminder, if you would like to ask a question after the prepared remarks conclude, please feel free to submit them through the chat function. Stagwell delivered strong fourth quarter financial results, capping a breakthrough year for the company. For the quarter, we reported revenue of $789 million, an increase of 20% as compared to the same period in the prior year and net revenue of $630 million, an increase of 14% over the prior period. For the full year, revenue grew 12% to $2.84 billion and net revenue grew 7% to $2.3 billion. In the fourth quarter, Digital Transformation revenue grew 22% to $182 million led by strong performances in our Advocacy businesses as well as growth of 12% among tech customers. We have seen an uptick in the number of AI projects that our Digital Transformation agencies have been selected for, indicating that we are at the beginning of a new wave of AI-driven Digital Transformation work. For the full year, Digital Transformation grew 13% to $718 million. Stagwell Marketing Cloud posted $81 million in revenue in the fourth quarter, an increase of 24% over the prior year, driven by significant growth in Wonder Cave, our advocacy focused, text messaging platform, as well as strength among our retail, communications and technology customers. For the full year, SMC grew 19% to $280 million in revenue. Performance Media and Data reported $89 million in revenue in the fourth quarter, with growth accelerating to 12% over the prior period. The growth was driven by continued strength in the consumer products, healthcare and business services sectors. The strength in technology, which began in the third quarter, continued in Q4 as the sector's revenue grew more than 60%. For the full year, revenue grew to $324 million, a year-over-year increase of 10%. Creativity and Communications delivered $387 million of revenue in the fourth quarter, an increase of 25% over the prior period. The results were driven by significant new business wins in the retail, technology and automotive sectors, organic growth with our existing customers and by strength in our Advocacy businesses. For the full year, revenue grew to $1.33 billion, an increase of 14% over the prior year. And Consumer Insights and Strategy reported $50 million in revenue in the fourth quarter, a decrease of 1% as compared to the prior year. For the full year, revenue was $190 million, a decrease of 1% over the prior year. Results in the fourth quarter and for the full year were bolstered by a record-breaking political season. Advocacy revenue in the fourth quarter rose to $127 million, an increase of 80% year-over-year and 46% over the prior political cycle. For the full year, Advocacy revenue increased 72% to $363 million, an increase of 18% over the prior political cycle. And excluding Advocacy, total company revenues increased 13% year-over-year in the fourth quarter and 7% for the full year. Moving to operating expenses, we continue to improve margins through effective cost management. Personnel costs, excluding incentives, our single largest expense, declined in the fourth quarter to 57.5% of net revenue or 320 basis points lower versus the prior period. We also made further progress on our cost savings initiatives in the fourth quarter and throughout 2024. In the fourth quarter, we identified and actioned approximately $6 million in annualized real estate savings through the consolidation of legacy office space into our regional hub model. This brings our 2024 annualized real estate synergies to more than $10 million. We also identified and actioned more than $4 million in additional annualized savings through the centralization of software and technology costs. As a result, Stagwell delivered $123 million in adjusted EBITDA in the fourth quarter, with a margin of 19.6% on net revenue, an improvement of approximately 230 basis points over the prior period. Excluding our Cloud investment of $23 million this quarter, our fourth quarter adjusted EBITDA margin would have been approximately 23.2%. For the full year, adjusted EBITDA came in at $411 million, representing a margin of 18% on net revenue, an improvement of 120 basis points over the prior year. Again, adjusting for our Cloud investment, our full year margin would have been approximately 21%. Now moving to the balance sheet, we continue to focus on capital allocation to maintain a strong financial position. Our DAC balance ticked up in the fourth quarter as we added a number of larger acquisitions. At $102 million, the DAC balance is in line with the year-end 2023 balance, but is approximately still $60 million less than that of year-end 2022. Throughout 2024, we announced 11 acquisitions and continued to focus on keeping our DAC balance at prudent levels through appropriate structuring of transactions. We also reduced NCI balances by approximately $10 million year-over-year, down to $22 million. And during the quarter, we acquired approximately 1 million shares at an average price of $6.61 per share for approximately $7 million. This brings our full year repurchases to 14.8 million shares at an average price of $6.31 or approximately $93 million. Our buyback authorization as of year-end still had 170 million in remaining availability. CapEx and capitalized software for the quarter was $18 million, which is broadly in line with our targets. Cash flows from operations for the full year improved $63 million relative to 2023, driven principally by improvements in our working capital management. As a result, we ended the year with $131 million in cash and drawings under our revolver of $264 million, resulting in a leverage ratio of three times. And finally, as Mark noted, we are issuing full year 2025 guidance as follows. Total net revenue growth is expected to be approximately 8%. Adjusted EBITDA is expected to be between $410 million to $460 million. We expect to deliver in excess of 45% free cash flow conversion, and adjusted earnings per share is expected to be between $0.75 and $0.88. That concludes our prepared remarks for this morning. I will now turn the call back over to Ben to open the Q&A portion of the call.
Ben Allanson: Thank you Frank. If you do have any questions, please submit them via the chat button at the top of the screen. We're going to start with some of the question we've received from a number of investors today. And this is about our change in guidance philosophy and moving to total net revenue growth. Perhaps you could just go a little bit more into why that change has come about, as well as talking a little bit about the start of the year.
Mark Penn: Well, I think I realized that people were grossly underestimating kind of the growth machine that we have built here, as we grow and we continue to scale up in the industry. We were very efficient at deploying capital at lower levels, that is then accretive to our business model, as opposed to what you see in the industry where they do the opposite. But you have to combine that with the organic growth that you see is led by Digital Transformation. And you see we have a very strong picture of 5.5% to 7.5% non-political organic growth for next year, because we're really firing on all cylinders. We are bringing in new scaled accounts at a much higher level than ever before. We are doing expanding our network into new regions that are providing new opportunities. We're beginning to get past the first rounds of government contracts that will add another 10 to 15% to this business. So I think people have to look at the totality of it. I think that they were missing that. We're still going to be letting you figure out how organic growth is working, but we are in a very strong organic growth mode. I had a peek at January, and January is the strongest January that we've had in the history of the company.
Ben Allanson: Great. Good stuff. Let's maybe just turn a little bit to Digital Transformation. A number of questions we received from analysts about Digital Transformation. One said obviously two consecutive quarters now of really, really nice strong growth in Digital Transformation. Could you maybe talk about any changes that we've seen over the course of the last six months in particular, which has led to this really strong rebound and acceleration in the capability?
Mark Penn: Well, absolutely. And I think that I've been very clear at saying that we thought that the tech companies went into efficiency mode, and now they're in competition mode, in which AI is breaking on the scene and clients are going to have to adapt to AI. And we are set up with this combination of designers and engineers, in particular, to help companies implement the Agentic AI, which will really kind of be critical to the connection that companies have with consumers, to redoing all of the websites now to be AI based, to really understand how the layer of information and data that we have about to will influence how both advertisements and web construct and the things that you see when you log on or enter a website will change based on knowing who you are. The wonderful world of AI here is real. You can't just build chips, you can't have just centralized applications. Every company needs a set of personalized, well-driven AI applications. We're going to be coming out with some really super interesting ones. I hope people will come to an Investor Day that we've set up in early April, which will display, I think, some of those incredible things that are being built by the Digital Transformation teams at Stagwell.
Ben Allanson: Fantastic. Let's turn a little bit. A question from Jason Kreyer at Craig-Hallum here. How would you characterize the volume of RFP activity today versus what you saw maybe last year or maybe how are we -- how's Stagwell's positioning in such a way to ultimately take advantage of potentially upticks in RFP or changing environments in the RFP market?
Mark Penn: We continue to have busier than ever flows of RFPs. We did over $1.3 billion of RFPs. We generally don't participate in about 20% of those that we're asked. And our win ratio has been above 30%. We are clearly growing share out of these RFPs. We expect to do about $1.5 billion of RFPs in 2025, not counting the various government ones. We have now put in experts at government contracts. We are the right scale and size now to begin to compete for those major contracts, for recruiting, for HHS, for these major contracts, which are hundreds and hundreds of millions of dollars, which previously have gone only to our competitors.
Ben Allanson: Good stuff. A little bit about everything that's going on in the industry at the moment. Obviously, there was a report at the beginning of December about a potential merger between two of the larger players in the industry. Laura Martin asking, as your competitors consolidate, is that good for Stagwell, bad for Stagwell, in 2025 and beyond? Maybe some thoughts that you might have on that.
Mark Penn: Look, I don't think people need another marketing behemoth out there. I don't see that the industrial logic of the Omnicom-IPG merger suggests that it is a merger of strength. It's a merger fundamentally of weakness for companies that got too big and are dealing with too many legacy assets. They're going to dump thousands and thousands of people back on the marketplace. They provide us with opportunities to pick up first-rate talent who don't want to be in a ship that's getting rid of $750 million of people, but want to be on something like Stagwell, where they see the future-oriented growth built on the latest AI technology. We're an exciting place. We have over 200,000 people applying to work for our company right now. So I think that from that position and I think also clients, as you can see, when you look at our wins from Starbucks to Visa to Target, you can see that people want a more nimble, digitally-based, but high-level creative shop. What we really offer is the combination of highest level creativity and technology, as opposed to the idea that somehow a faceless, meaningless computer combined into a huge behemoth will really be the answer. That's why I set up, coming out of WPP, that's why I set up Stagwell in the first place, because the market needed an alternative like Stagwell.
Ben Allanson: Great. Good stuff. Maybe a question just about the margin here. And this is from Cameron McVeigh at Morgan Stanley. Obviously we talk a lot about our investments in the product and things, but where do we see our long-term margin trending over time, and when do you kind of expect us to get there potentially?
Mark Penn: Look, I think you're going to see these significant investments in technology probably continue through definitely through this year, probably through half of next year. And then I think you're going to see them significantly decline. I think we're building the basics internally, the ID graph, The Machine. We are now dedicating more and more salespeople to the products across Communications, which is now a complete suite. Research, which is now a complete suite and the Media pieces that we're in the verge of putting together. So I think you're going to see that for about a year and a half and then I think you're going to see that decline, and you really have to look at what our real margin is, is probably about 25% greater than you're seeing today. And remember that as we take off on the tech products themselves, they tend to have 60% to 80% gross margins embedded in them as well.
Ben Allanson: Absolutely. Two more questions before we wrap up. Just a little bit on SMC, a couple of questions coming through from a number of people. Could you just maybe talk about the strong momentum we've begun to see in that over the second half of 2024? What are you excited about with the products heading into 2025?
Mark Penn: I'm really excited. In the communications sector now, we have really a complete suite of products that's very competitive. We have PRophet, which is earned, which is the AI basis. We have an influencer marketing platform and now we have global media monitoring, which has tremendous, I think, value both for the rest of the agencies and offerings at Stagwell and for the Cloud. I think in Research with the addition of BERA, we now have a complete suite of research products. And I think on the Media thing, we're now putting together a suite that will first, I think, drive, internally a very competitive product against Google Assist on data and media, where we'll really have the latest in terms of how you apply an ID graph and how you use AI to really manage thousands of pieces of content and to vary and test them. So I think this is coming together. It's coming together incredibly well. I think from the start we felt it was important to have a central tech group to do services first, to get 4000 clients, but really continue to invest in this technology. I think you're going to see again an Investor Day where these things are going. And let me just mention our AR experience at stadiums with sponsors like Uber and others is way ahead of anybody else.
Ben Allanson: On the Investor Day question, this is our last question for the day. Obviously we're going to be holding this on April 2nd. It will be a virtual Investor Day. Question from an investor, Can you give us a little bit of a sneak peek as to maybe something we might be able to see at the Investor Day coming up in about a month's time?
Mark Penn: Look, I think the main thing for investors is you have to ask yourself, okay, is this a company with a long-term growth profile? I started it nine years ago with an assistant, and we're sitting here with nearly $3 billion in revenue. B, Can we scale up and be a true competitor in the industry, an industry that wants better creative, that wants more nimble adaptation of AI, and wants to get rid of the old fashioned models? The answer to those two questions, yes, at Investor Day, I think you're going to have to say, why aren't more people investing in Stagwell? And then third, you're going to get a peek at how we're applying the latest technologies, both to clients and internally, to offer better, more streamlined services. I think it's going to be exciting. I think that we're really showing that the promise of what we said, which is that we would be the challenger holding company, that is the Goldilocks size not too big, not too small, just right for major clients around the world is coming to fruition.
Ben Allanson: Perfect. Well, with that, that's the end of our Q&A section for today. Thank you so much for attending. We hope you'll be able to join us on April 2nd for our virtual Investor Day. Please keep an eye out over the next couple of days for an invite for that as well as additional information about the day. Thank you very much.